Operator: Good morning, and welcome to the Nuvve Holding Corporation Fourth Quarter and Full Year 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Eduardo Royes, Managing Director, ICR. Please go ahead.
Eduardo Royes: Thank you. On today's call are Gregory Poilasne, Chief Executive Officer; and David Robson, Chief Financial Officer of Nuvve. Earlier today, Nuvve issued a press release announcing its fourth quarter and full year 2022 results. Following prepared remarks, we will open the call up for questions. Before we begin, I would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Nuvve's best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking projections. These risk factors are discussed in these filings with the SEC and in the earnings release issued today, which are available on our website. Nuvve undertakes no obligation to revise or update any forward-looking statements to reflect future events or circumstances. With that, I would like to turn the call over to Gregory Poilasne, Chief Executive Officer of Nuvve. Gregory?
Gregory Poilasne: Thank you, Eduardo, and hello to everybody joining us today. We thank you for joining our fourth quarter and full year 2022 results call. The fourth quarter saw a watershed moment for school bus electrification with the awarding of grant funding as part of the EPA clean school bus program in October. As discussed at length, on our November call, we were thrilled to find out in October that Nuvve facilitated 10 of its school district customers in receiving 61 EPA clean school bus rebates as part of the first phase of this five-year program. Over the past several months, we have been working closely with the school district partners for which we were the [Grandbriters], along with other potential customers with application process we facilitated. Receiving grant, our rebate money is just step one in the process of electrification. Recall that our recipients received $20,000 in hardware and infrastructure-based money per bus. This translates into $1.22 million in funding for Nuvve high-powered chargers infrastructure and site design associated with the 61 buses, but customers have flexibility in how they spend it. Nuvve's Bidirectional chargers have sold for more than twice the rebate amount. As such, some customers may choose to pay the difference to purchase the DC chargers, but more likely, we expect most to, one, seek more grant funding in addition to the EPA funding; two, stack their EPA rebate so as to cover the full cost of DC chargers with more than one rebate per charger; or three, apply their funding for the purchase of AC chargers. Recall that DC charges are more expensive than AC charges. However, bidirectional DC chargers provide significant faster charging speed and more importantly, allow Nuvve customers the opportunity to unlock valuable V2G revenues using a proprietary platform over the life of the vehicle. We take a consolidated approach with our customers and partners, helping them to think through their projects in strategic fashion, which includes intergeneration of their fleets with the grid in order to help them understand how to maximize the value they get out of their [carbon] dollars. We're able to do this because Nuvve is not just a technology company. We're an experienced team executing time-tested and constantly applied process of deploying V2G enable infrastructure successfully across the world. With that said, we expect to receive the majority of the purchase orders for hardware associated with the EPA funding over the course of the second quarter and for shipments to then occur over subsequent quarters. As a reminder, the EPA Clean school bus program is trying to provide a total of $5 billion in funding by 2026. We expect to learn more in the coming weeks as applications are released for the 2023 phase in this program. We look forward to participating heavily in this trend as well and hope to outperform our phase one results. On the regulatory front, I want to update you on the regulatory tailwinds we continue to see for V2G as they underscore the critical role that V2G can and should play as vehicles occupy. California remains at the forefront of legislation to combat climate change and promote EV adoption where more than 60% of the new vehicle sales were electric in 2022. Earlier this year, Senator Nancy Skinner introduced California State Bill 233 invited yet another climate build, but one that is V2G focus. Specifically, the bill calls for the establishment of state-wide vehicle grid integration goals, higher incentives of bidirectional capable electric vehicles and charging stations and a requirement that all electric vehicles and charging stations be bidirectional capable by model year 2027 in order for EV drivers to be able to reduce their energy bills while improving grid stability and so helping to avoid power outage. While this legislation is still working its way through the stages, it must have to become low. This is specifically on new developments representing unprecedented policy support for Nuvve products and services and the recognition by policymakers of the importance of V2G as a reliability resource. Further, Nuvve will begin its second year of [indiscernible] in California Emergency Load Reduction program, or ELRP. Recall that in March 2021, the California Public Utilities Commission, or CPUC, creating the ELRP to pilot a new demand response approach to help avoid retailing outages typical in California's Hotmart. In short, the ELRP pays electricity customers for reducing energy consumption or increasing electricity supply during periods of electrical grid emergency. The program is in effect diluted from mid to October in the late afternoon and early evening hours with a maximum of dispatch limit of 60 hours. In the summer of 2022, we launched our participation in this program by pairing our V2G technology and service with San Diego Gas & Electric or SDG&E. We keep this off in San Diego in July at the Cajon Valley Unified School District and expanded in October to the Ramona Unified School District. This past August, during an unprecedented 10-day strict that blew away over 1,000 hit records, this operational loan resulted in an export of about 1 megawatt hour of energy to the grid with impressive greenhouse gas reduction or equivalent how to serve metrics of about 250 kilograms and 500 kilogram respectively. We look forward to being able to leverage the entire calendar ELRP program availability this year. Nuvve will have over megawatts of V2G resources participating in the 2023 ELRP season, by far, the largest operator of V2G assets in California. Our North America sales and Grants & Funding teams remain at the forefront of these developments, ensuring that we are building and strengthening relationships with markets that are V2G programs such as ELRP in place or soon to launch. California, both through ELRP and other V2G opportunities remain at the forefront. But we see similar opportunities in other major markets like New York, Rhode Island, Massachusetts and Delaware in addition to those programs which exist outside of North America, including Europe and Asia. Also in the electric school bus market in February, Nuvve accepted a purchase order from the Los Angeles Unified School District or LAUSD, to sell 24 V2G-capable DC fast chargers with shipments in the first half of the year. In fact, 18 charges have already been shipped during the first quarter of 2023. This is our largest single DC fast charger purchase order to date. And as with many programs, we believe that these represent just the tip of the iceberg with respect to eventual potential opportunity set. This order aligns with LAUSD's 2022-2026 strategic plan to modernize infrastructure for operational effectiveness. The school district operates the second largest school bus fleet in the country with 3,000 school buses. This is estimated to represent approximately 180 megawatts of electric school bus battery capacity if all 3,000 school buses of the LAUSD [electrify], which we think is inevitable. Turning to other exciting rebates at Nuvve since last call. On our third quarter call, we discussed pursuing opportunities with third-party charging station OEMs, whereby we interface with a unidirectional infrastructure already in place to layer in our V2G platform. We view this as a means of accelerating the growth of grid services revenue in way that is not reliant on us rolling out large-scale hardware and vehicles and which is working capital light for us. After several months of discussions and negotiations, we were incredibly proud to disclose our partnership with Circle K in the Nordics in February. Circle K operates across 24 countries with approximately 14,800 stores offering roadside transportation fuel. Through our agreements, Nuvve V1G unidirectional charging management and power capacity market participation technology is expected to manage an initial 40 megawatts of EV fast chargers and 50 of Circle K service stations and three to five stationary storage sites in Norway and Denmark. We expect to begin to generate modest revenue in the second quarter and for a gradual ramp in the second half of the year. While hardware revenues remain the largest percentage of our revenue today and are lucky to remain this way in the near term, we are increasingly excited about the faster growth trajectory of our recurring grid service revenue, as I will elaborate in a little bit. After we complete our first phase of integration with Circle K, we would look to work with them to expand to additional locations across the Nordic high-speed charging network, which in Norway and Denmark is more than 160 stores strong and eventually, other countries and regions. We applaud Circle K for seeking ways to monetize its EV charging assets through market participation with system operators in Norway and Denmark. Further, we were happy to hear a few weeks ago that Couche-Tard , the current company of Circle K is expanding their portfolio in Europe through the proposed acquisition of a portfolio of retail assets owned by [indiscernible] Energy that covered nearly 2,200 sites as of year-end of 2022. It seems to us that Couche-Tard and Circle K are going all in on transforming service stations into full-fledged service hubs with EV charging and apply poised to be a key part of this and where regime V2G technology can, in our view, be a true differentiator. Our primary focus is today to ensure a smooth ramp-up of our operation with Circle K, making sure all of the key pieces of the technology are [perking] to one another is critical. And so we want to make sure we are working closely with our colleagues to maximize uptime so us to drive a successful program with Circle K and their customers. To give you an idea of the scale, with 10 charging stations per site and 250-kilowatt per charging station as standard value today across 17,000 stores on today, this represents more than 400 gigawatts capacity under management. We also remain in active discussion about additional opportunities similar to that one, and we hope to be able to provide an update on this later this year. To conclude my opening remarks, I'd like to tie these various teams together and briefly revisit our remarks for last year as we summarize 2022 to take a high-level view of 2023. As we discussed in November, we have been disappointed with the pace of the inflection in our business and specifically the sluggish pace of electrification in the school bus market in the U.S. The combination of inflation, car shortage and the reliance on subsidies make the timing of the school bus opportunities unpredictable. This can be reflected in our orders for DC fast chargers in 2022, which declined in the back half of 2022 compared to the discipline growth we had in the forefront of 2022. We do expect to see an improvement in 2020 EV bus sales, but both sales will likely still remain in the hundreds and thousands this year. One thing we are very proud of, however, is our market share. We estimate that more than 20% of Electric school bus are connected to Nuvve hardware. We believe this validates our technology in the stuff that we should not be taken lightly, and we are confident that we can grow our share even more. In the near medium term, the sale of our EV charging hardware will continue to be the bigger revenue generator for our business. As such, we are thrilled to have received the record order from [MELA USD]. With Q1 2023 nearly over, we can confidently say that we expect to report record orders this quarter and more than any quarter in 2022 and 2021. We further expect another strong quarter in Q2 as the EPA program awards come in, which, of course, should provide a good baseline for shipments through the balance of the year. Put simply, we expect to see a more material improvement in our hardware sales in 2023 as the tide begins to turn. At the same time, we discussed on the last call, how it was important to pursue opportunities such as the one we have secured with Circle K. The ability to significantly expand our megawatts under management and provide grid services, of course, the [AM game] for Nuvve and where we provide two differentiated value to our customers. Hardware is just one -- is just step one. Partnering with companies that are deploying the infrastructure themselves is accelerating the growth of our megawatt under management and more importantly, the growth in our grid service revenue. Through commercial opportunities such as Circle K partnerships and other similar agreements we are pursuing, we believe there is a possible pathway to significant growth in megawatts under management in 2023 and for a solid improvement in grid services, remain hesitant to guide on grid service revenue as it can be very tough to predict, especially in these early days, but I wanted to be sure we express our optimism around making some real gains in 2023. And with that, I will now turn the call over to David to discuss our financial results.
David Robson: Thanks, Gregory. I will start with a recap of fourth quarter 2022 results. In the fourth quarter, we generated total revenues of $1.15 million compared to $1.25 million in the fourth quarter of 2021. 1/2 of the decline is driven by lower grant revenues, falling more than 50% year-over-year and the balance of the decline is attributed to lower product and service revenues, which declined by 5%. Note that relative to the third quarter of 2022, sales more than doubled in the fourth quarter, and we have seen a continued revenue acceleration into Q1 of 2023. Margins on product and service revenues were 32.7% for the fourth quarter 2022 compared to 3% for the fourth quarter 2021. The strong improvement in margins on a year-over-year basis primarily reflects the decision in Q4 of 2021 to engage in the sale of DC chargers at a discount with a particular customer in return for the contractual rights for a larger share of future grid service revenues. In addition, margins also benefited this year from grid service revenues being a higher mix of total revenues in the fourth quarter of 2022 compared with the prior year quarter. Margins can be lumpy from quarter-to-quarter depending on mix. As a reminder, DC charger gross margins at standard pricing generally range from 20% to 25% while AC charger gross margins are approximately 50%. But in dollar terms, are a smaller fraction of the revenue of a DC charger. Grid service revenue margins generally range between 30% to 40%. Operating costs, excluding cost of sales, was $9.2 million for the fourth quarter of 2022 compared to $8.5 million in the fourth quarter of 2021. The increase was primarily attributed to increases in professional fees, rent and legal expenses, partially offset by a decrease in compensation expenses, including a reduction in share-based compensation. As Gregory discussed previously, in the second half of 2022, we implemented steps to reduce costs in order to maximize operating efficiencies and liquidity. As such, cash operating expenses, excluding cost of sales, stock compensation and depreciation and amortization was $7.7 million in the fourth quarter of 2022, declining from $7.8 million in the third quarter. We expect additional declines and efficiencies in future quarters with such expenses running at approximately $7 million or lower for the first quarter of 2023. Other income was $1 million in the fourth quarter of 2022 versus an expense of $1 million in the year ago quarter. The $2 million increase in other income is primarily due to the change in the fair value of warrants issued to Stonepeak and evolve transition infrastructure related to the formation of Levo in 2021 and the change in the fair value of warrants issued to an accredited investor during the third quarter of 2022 associated with the securities purchase agreement. Net loss attributable to Nuvve common stockholders decreased in the fourth quarter of 2022 by $1.6 million to $7.9 million from a net loss of $9.5 million in the prior year. The decrease in net loss is primarily due to an increase in other income. Turning to our full year results. For the full year 2022, we generated total revenues of $5.4 million compared to $4.2 million in 2021, representing a 28% increase. Full year product and service revenues increased to $4.9 million from $2.9 million in the prior year, representing a 68% increase, while grant revenues declined to $0.5 million from $1.3 million, representing a 64% decrease. Margins on product and service revenues was 14.6% for the full year compared to 31.4% last year. The lower margins for the full year reflects lower margins realized in the first half of 2022 of 5% compared to 36% realized in the second half of 2022. We realized lower margins in the first half of 2022 because of a few strategic decisions we made early in the year to sell EV buses and discounted hardware as an avenue in exchange for future hardware and grid service revenue opportunities. Operating costs, excluding cost of sales, was $38.1 million for the full year 2022 compared to $29.4 million for the full year 2021. This increase was primarily attributable to higher public company fees, professional fees and payroll and consulting costs. Other income was $12.4 million for the full year compared with $47.4 million of expense in the prior year, an increase of $57.9 million. The year-over-year increase in other income was primarily driven by the noncash financing costs associated with the formation of Levo of $46.8 million in 2021 plus noncash income associated with the change in the fair value of warrants issued in connection with the formation of Levo and noncash income associated with the change in the fair value of warrants issued in connection with the securities purchase agreement entered into during the third quarter of 2022. Net loss attributable to common stockholders for the full year improved by $47.9 million to $24.9 million compared with $72.8 million for the full year 2021. We had approximately $15.8 million in cash as of December 31, 2022, excluding $1.5 million in restricted cash. In the fourth quarter, we did not raise any capital. However, subsequent to the fourth quarter end, we disclosed in January that we had entered into an at-the-market or ATM offering agreement related to shares of our common stock. Given pressure on our stock price, we have used this facility sparingly in the first quarter of 2023. We also raised just under $500,000 in February through our registered direct offering. We believe our existing shelf registration, in addition to our ability to free up cash from working capital, along with our continued optimization of operating expenses will provide us with liquidity and flexibility as we scale megawatts under management and revenues into 2023. We are also excited to announce that we have recently agreed to monetize our investment in Switch, a leader in charging infrastructure operation and maintenance software that resulted in $1.3 million in new cash proceeds received in 2023. As a reminder, Switch has developed the only charging platform that is native to plug and charge and vehicle to everything. We have worked with Switch for years. And in June 2022, we entered into an agreement with them for energy management and technology integration in order to further advance and strengthen our technology and development of V2G. At the time, we made a $1 million investment in the Switch. Recently, a financing event came about that allowed us to sell our stake for a 30% return while at the same time retaining important commercial and technology benefits of the partnership. The ability to put cash on our balance sheet in a nondilutive way and at a favorable return while still maintaining the various strategic benefits of this partnership in our view, is an all-around win. Looking ahead, as we have seen year-to-date, our stock price remains very volatile and subject to a macro outlook that remains uncertain and subject to exogenous shocks. That being said, we remain focused on opportunities to raise capital and leverage the momentum in the underlying fundamentals of our business in the most efficient manner for our shareholders. Total cash decreased by $5.9 million during the fourth quarter, primarily attributed to cash operating losses of $7 million, offset by positive working capital. As we previously discussed, we expect to continue to generate positive working capital in future quarters, which will improve our cash burn in 2023 as we bring down our net investment in inventory and accounts receivable. Inventory decreased by $0.2 million to $11.6 million at the end of the fourth quarter from $11.8 million at the end of the third quarter of 2022. We expect inventory to decline in a more meaningful fashion as our anticipated charger shipments pick up in the beginning of the year, as alluded to by Gregory. Accounts payable increased to $2.4 million at the end of the fourth quarter compared to $1.7 million at the end of the third quarter. Now, turning to megawatts under management and estimated future grid service revenues. As a reminder, megawatts under management is a metric we use to quantify the aggregated amount of electrical capacity from the deployment of our V1G and V2G chargers, which are primarily deployed in the electric school bus market in the U.S. and in light-duty fleet deployments in Europe in addition to stationary batteries. Currently, these chargers and batteries are located throughout the United States, Europe and Japan. Megawatts under management increased by 7% over the third quarter, up 1.1% to 17.4% at the end of the fourth quarter 2022 from 16.3%. For the full year, megawatts under management increased by 38%. Megawatts under management comprised of 9.4 megawatts for stationary batteries and 8 megawatts from EV chargers. We expect our megawatts under management to increase nicely in the coming quarters driven by the Circle K opportunity, new school bus charging station deployments and other commercial proposals we are working on in North America and Europe. This brings me to estimated future grid service revenues associated with our megawatts under management and megawatts to be deployed, which is based on a combination of contractor grid service revenues and merchant exposed revenues. As Gregory mentioned, we expect our charger hardware orders in Q1 of 2023 to be the strongest compared to any historical quarter in 2022 and 2021. In addition to this growth, with our expanded megawatts under management reaching 17.4% at the end of 2022 and growing further in 2023, we are now at the early stages of reaping incremental benefits of recurring grid service revenues generated by our platform. In 2023, we expect grid service revenues to outpace our strong hardware revenue growth therefore, resulting in grid service revenues making up a larger share of total revenues compared to the prior year. Pending on the geographic regions of our deployments, our grid service revenue opportunities will vary. We are currently seeing grid service revenue opportunities for vehicle-to-grid services ranging between $85 per kilowatt year up to $300 per kilowatt year in strength in certain key markets we are focusing on. And with our planned expansion of V1G charging management services in Europe, we are seeing further grid service revenue opportunities. These revenues include a combination of contracted services and merchant exposed services, as I previously mentioned. Given the long-term nature of our customer deployments, these revenues are generally recurring up to periods as long as 10 to 12 years. Now turning to backlog. At December 31, our hardware and services backlog was $4.1 million, nearly flat with Q3 of $4.2 million. We didn't realize growth in backlog in the fourth quarter as many of our customers were holding off on placing orders during the quarter in anticipation of placing orders in 2023 associated with EPA Grant awards. To conclude, our outlook for 2023 is bullish. We already see this in our early 2023 results with Q1 2023 performance is expected to be strong for charger sales and with grid service revenues expected to grow at even a faster pace, expanding our top line in both categories as well as expanding our gross margin dollars. In addition, we expect operating expenses, excluding cost of sales to decline in Q1 '23 compared to the fourth quarter of 2022. Finally, we expect to realize meaningful reductions in net working capital further improving our cash burn. As we look out past the first quarter, we will start to realize the revenues from EPA grants awarded last year and the benefits of new grid service revenues coming online, both through V1G services in Europe that we have already announced and expanded participation in V2G services in North America. Finally, we expect to grow our megawatts under management materially in 2023, which provides us the ability to earn valuable grid service revenues for Nuvve and our customers in the future. And with that, Gregory, back you to wrap up our prepared remarks.
Gregory Poilasne: Thanks, David. To conclude, we are in close collaboration with our four district customers we have been awarded EPA clean school bus program, and we look forward to accepting orders in the coming months and shipping them in the quarters ahead. We are happy to see momentum building now that we are a few months into 2023, both on the hardware side as evidence of the LAUSD order. And on the grid service revenue side, as we seek out opportunities to layer our technology into existing infrastructure, such as through the Circle K partnership. These recently disclosed agreements as well as our pipeline point to an improvement in our business in 2023. This is what we -- what was rather flattish and disappointing 2022. And we, of course, remain optimistic about the medium and long-term growth prospects for our business as endorsed by the myriad of regulatory V2G tailwind. We thank you for your participation, and we'd like to now turn the call back to the operator to begin our Q&A. Operator?
Operator: [Operator Instructions] Our first question is from Eric Stine with Craig-Hallum.
Eric Stine: So given us the Circle K announcement, obviously, pretty exciting. Just curious, could you maybe talk about how you expect that to play out in terms of the rollout over 2023 and into 2024. And then you did mention that you've got similar opportunities out there. Any color you can provide on those would be helpful.
Gregory Poilasne: I mean, I think it's going to be a gradual rollout, right? I mean we are -- there are two type of resources by their stationary storage. And then they are the charging station. The storage right now is more in one region and the charging stations are more maybe in some other regions. So though there is more that is going to be rolled out here along the year. So we need to manage those -- this rollout process. We need to also build a better understanding of -- because obviously, to do grid services. You have a charging station, but also you need to have a vehicle connected to it, right, in order to provide those grid services. And so we are in the process of gathering the very high level of data to give us a very deep understanding of the full optimization we can do of those combination. And I'm sure we're going to go through iteration, so I would expect some revenue probably in Q2, but very small, but then growing into Q3 and definitely achieving a full scale, but maybe not yet fully optimized by the end of the year for the first 40 megawatts.
Eric Stine: Got it. And then just on the additional opportunities?
Gregory Poilasne: Yes, I mean, obviously, we haven't disclosed those, but obviously, there is a large amount of fast chargers that are being deployed in Europe and in the U.S. And those are with freeway type of cash in citation. Now you also have some other type of depots maybe that are vehicle depots that have maybe less supportive of a full bidirectional application, but that might be a great application for unidirectional, so I would consider those 2.
Eric Stine: Okay. Got it. And then maybe as we think about megawatts under management, you obviously had the announcement related to stationary batteries in Japan. I'm just curious, could you talk about the stationery opportunity? I mean, I guess it's basically equal right now to the vehicle side in terms of megawatts under management now. How do you see that? If you look out three to five years, do you think -- I mean, what does the mix look like in stationary? Does it remain a meaningful percentage of the mix?
Gregory Poilasne: I would say that these are high priority to that vehicles will be the very -- a large proportion of the kilowatt hours that are being managed and the kilowatts that we are providing to the grid. So definitely, vehicle will be a big part, but when you look at a site, right, and you have a combination of some local generation, like solar, some local loads , some local storage and some unidirectional and bidirectional, so V1G and V2G. Now you have a lot of flexibility in how you can manage a site like that. And we've always talked about kind of both those of power that are representing this mix of local generation, local storage, local load and V1G, V2G. And the other piece is if our platform is really good at managing EVs, we are also really, really good at managing stationary storage and then managing the combination of to an optimizing the value we can extract from that combination, I think we are far ahead over the years in how we are positioning ourselves in that specific point.
Eric Stine: Okay. And so is it better to think about this -- that stationery, it's kind of each site will have a mix of all kinds. There's going to be some stationary there as opposed to potentially opportunities where it's very heavily focused on stationary storage that you think about it.
Gregory Poilasne: Yes. I mean our acquisition is always, hey, our competitive edge is in the EV space. But EV combined with stationary storage is very valuable. And so -- but no, the entry point is starting with transportation, electrification starting with transportation. That's our position.
Eric Stine: Okay. Got it. And maybe last one for me. Just curious, I guess, we're still kind of waiting on or in process in terms of the first tranche of EPA funding, but any indications about your involvement, how are things coming together as you kind of get prepared for that next stage of EPA funding?
Gregory Poilasne: Yes. I mean first, we are -- we're still working very closely with the school districts. It's a big step, right? I mean there was a lot of money on the school bus side in this round, but a lot of school districts were surprised by the amount of money that we have to spend on the infrastructure piece, right? And not just the charging patient, but potential grid upgrades. We expect the next round to be a lot more balanced and to have a lot more -- somebody call here, sorry, to have to be a lot more balanced and to have a lot more implementation looking. So basically, how is the project maybe a project that are more firm than what they were in the first round. And this is what you would expect because now with the first round people have been thinking about it. So we expect the next one to be something where people will have more thoughts about what they need to put in place.
Operator: The next question is from Brian Dobson with Chardan Capital Markets.
Brian Dobson: So the Circle K partnership is very positive. I suppose, as you're thinking about Europe, and growth there, can you speak a little bit to the environment and toward the business there and also the opportunity for potential subsidies coming from the European governments?
Gregory Poilasne: So yes, I mean, I think Europe is very interesting, right, because this is obviously with the war in Ukraine and Russia, and this have been creating a lot of volatility on the cost of energy and the cost of electric energy is being one part of it. So one volatility in the market, two markets such as what's called CRN, CRD, FFR , like the market that are helping keeping the grid balance are a lot more advanced than they are in the U.S. There is some diversity there and that brings quite a few opportunities for us to be able to provide those grid services with as minimum as possible impact to the end user. When you go through a fast charger, you don't have to discharge your car, you're not here to even wait half an hour more in order to save a little bit of money. But if you lose 30 seconds to 1 minute, it's not a big deal and that can make a big difference in the cost of that infrastructure and how that infrastructure can be deployed. So I think that's really the advantage in this case of the European market.
Brian Dobson: Yes, very good. And then also positive for next year that potential order from the Los Angeles Unified School District. As grants are paid out from the government, what kind of incentification do you think you'll see from other large school districts to enhance their EV bus orders?
Gregory Poilasne: I mean I think this -- that wave is happening right now, and it's not going to go back. I think the biggest hurdle is really EV, the manufacturing process, which is now we said, we expect maybe not thousands yet, no, hundreds, but not thousands. That's probably the biggest impediment to the school bus deployment. But I think the mindset has turned and the school districts we are -- ready to embrace it. They are still discovering what it takes to get there, but they are really embracing it. And essentially, I think the big school districts -- some of the [big fit owners] also. I've been clearly pointed that out. And I think that tidal wave is moving, and this is what's really exciting about us focusing about market is this is coming -- and hundreds this year, thousands next year, that's what we can expect.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Gregory Poilasne for any closing remarks.
Gregory Poilasne: Thank you, everybody, for joining us today. We are very excited about 2023 and we're looking forward to sharing more about the progress that we are doing into rolling out our technology with partners such as Circle K and the further wins that we are making into the school bus business. I look forward to sharing more with you at the end of the first quarter of 2023. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.